Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Sow Good Inc.'s financial results for the fourth quarter and the full year ended December 31, 2024. Present today are Sow Good Inc.'s co-founder and CEO, Claudia Goldfarb, and Chief Financial Officer, Brendon Fischer. Following their remarks, we will open the call for analyst questions. Before we go further, I would like to turn the call over to Cody Slach, as he reads the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995, which provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Slach: Hello, everyone, and thank you for joining us in today's conference call to discuss Sow Good Inc.'s financial results for the fourth quarter and full year ended December 31, 2024. Certain statements made during this call are forward-looking statements, including those concerning our financial outlook, competitive landscape, market opportunities, and the impact of the global economic environment on our business. These statements are based on currently available information and assumptions, and we undertake no duty to update this information except as required by law. These statements are also subject to a number of risks and uncertainties, including those highlighted in today's earnings release and our filings with the SEC. Additional information concerning these statements and the risks and uncertainties associated with them is highlighted in today's earnings release and in our filings with the SEC. Copies are available on the SEC's website or on our investor relations website. Furthermore, we will discuss adjusted EBITDA, a non-GAAP financial measure, on today's call. Reconciliation of adjusted EBITDA to net income or loss, the nearest comparable non-GAAP financial measure discussed on today's call, is available in our earnings press release at our Investor Relations website. With that, I will turn the call over to Claudia Goldfarb.
Claudia Goldfarb: Thank you, Cody. Good afternoon, everyone. We appreciate you joining us today. 2024 was a defining year for Sow Good Inc. We experienced explosive growth in the first half, followed by a sharp slowdown in the second. Building an entirely new category and product line from the ground up comes with inherent challenges. Like many entrepreneurial innovation-driven companies, we had to navigate the growing pains of bringing something truly new to market. The two most significant challenges we faced, which heavily impacted the second half of the year, were product melting issues and increased competitive pressures. We have addressed the melting issue by enhancing our packaging to improve product integrity and implementing temperature-controlled shipping where necessary. As for the competitive landscape, the market saw an influx of low-quality, cheap imports from China, which negatively impacted consumer trial and slowed adoption. At the same time, competition escalated with the entry of major global candy companies, as Mars entered the category in Q4 and Hershey followed in Q1 of this year. We are tackling this new reality head-on with a proactive and aggressive strategy. Expanding our retail footprint, opening new doors, strengthening our presence in key markets, and continuously innovating and expanding our product portfolio to keep our assortment fresh and exciting. Despite these obstacles, our team remains incredibly proud of what we have built in such a short time, and we are fully committed to navigating these headwinds. Fortunately, we are seeing early signs of recovery in our sales pipeline for candy in Q1 of 2025. While the rebound is gradual, we have a clear and strategic path forward in the freeze-dried candy market. The challenges of the past nine months, while difficult, have also created opportunities to think outside the box and drive innovative solutions for both sales growth and cost optimization. At Sow Good Inc.'s core, we are innovators and manufacturers with deep expertise in food production. We are leveraging that experience to expand into adjacent categories with significant growth potential, which I will discuss further during my closing comments. We are excited to return to our innovative roots, but the next six months will require focused execution and discipline. Our priorities remain clear: expanding candy distribution, reducing costs, optimizing our manufacturing footprint, and successfully launching new product categories. Each of these initiatives plays a crucial role in our long-term strategy. While significant challenges remain, we are confident and steadfast in our ability to navigate them successfully. I will now turn it over to Brendon Fischer to review our Q4 and year-end 2024 financials. Brendon?
Brendon Fischer: Thank you, Claudia. I will dive right into our financial performance. Revenue in the fourth quarter of 2024 was $1.4 million, compared to $9.5 million for the same period in 2023. For the full year, revenue increased significantly to $32 million compared to $16.1 million in 2023. The decrease in the fourth quarter was largely due to increased competitive pressure and the spillover effect from product shipment pauses in the third quarter of 2024, as well as increased promotional activity and customer allowances. The full-year increase primarily reflects our transition to selling freeze-dried candy in the first quarter of 2023, a growing market for freeze-dried candy, and our expanded production capacity after adding three new freeze dryers in 2024, as well as the addition of new retail customers. Gross loss for the fourth quarter of 2024 was $1.2 million compared to a gross profit of $3.4 million for the same period in 2023. Gross margin was negative 88% in the fourth quarter of 2024 compared to 36% in the year-ago period. The decline was primarily due to an approximate $1.7 million inventory reserve expense taken during the quarter, as well as from higher costs related to our new facility and the impact of lower sales. Excluding this reserve, gross profit was $0.4 million, representing a gross margin of roughly 31.8%. In full-year gross profit increased significantly to $13 million compared to $4.5 million in 2023. Gross margin for the year was 41% compared to 20% in 2023. The increase was primarily due to the strong revenue growth. Operating expenses in the fourth quarter of 2024 were $2.9 million compared to $1.6 million for the same period in 2023. For the full year, operating expenses were $14.5 million compared to $4.5 million in 2023. The quarter and full-year increases were primarily driven by higher share compensation expense related to the amortization of performance options granted in December 2023, and other operating expenses increase related to our rapid growth. Net loss in the fourth quarter of 2024 was $4.2 million or negative $0.40 per diluted share compared to net income of $1.3 million or $0.26 per diluted share for the same period in 2023. For the full year, net loss was $3.7 million or negative $0.40 compared to a net loss of $3.1 million or negative $0.59 the prior year period. The quarterly decline reflects the lower level of gross profit and higher operating expenses as of the fourth quarter of 2024. Adjusted EBITDA in the fourth quarter of 2024 was negative $2.8 million compared to $2.3 million for the same period of 2023. For the full year, adjusted EBITDA was $4.1 million compared to $0.1 million in 2023. Moving to the balance sheet, we ended 2024 with cash and cash equivalents of $3.7 million compared to $2.4 million as of December 31, 2023. The increase was primarily driven by the public offering we completed in the second quarter when we raised $4 million in proceeds net of underwriting fees. We also filed HCL registration in the fourth quarter, which resulted in aggregate proceeds of $2.2 million. Inventory at year-end increased sequentially to $20.3 million compared to $19.4 million as of September 30, 2024. The increase was driven by new finished ship production partially offset by sales and the aforementioned inventory reserves recognized during the period. This concludes my prepared remarks. I will now turn the call back to Claudia Goldfarb. Claudia?
Claudia Goldfarb: Thank you, Brendon. I will focus on our three key strategies: our cost-saving initiatives, the opportunities we are pursuing in categories where our management team has deep expertise, and our candy distribution and expansion strategy. These initiatives are fundamental to our strategy as we strengthen our streamlined operations and capitalize on high growth. We are focused on creating operational and cost efficiencies while maintaining our exceptional manufacturing capabilities and food safety standards. Notably, we achieved a 97 on our most recent SQF audit, awarded on December 31, 2024. In Q4, we successfully reduced payroll expenditures by 38% from Q3 and anticipate an additional reduction of 16% by the end of Q1. To ensure we continue meeting demand and can scale as sales recover, we have implemented two automated packaging machines, which were put into use on March 14. Designed by our in-house engineers, these machines automate our packaging process previously done entirely by hand while preserving product integrity. Unlike standard automated product packaging equipment, which often causes significant product breakage, our custom machines were designed to ensure superior product quality. This advancement represents a significant step forward in both efficiency and scalability as it will allow us to pack more with less labor. Furthermore, we are evaluating opportunities to optimize our manufacturing footprint to better align with our current operational needs. As part of this strategy, we have decided to delay the deployment of freeze dryers seven through twelve until production demands warrant their activation. This approach allows us to maintain maximum flexibility as we explore new category and geographic expansion opportunities. Similarly, we are postponing the activation of our candy-making machine. We firmly believe that bringing candy production in-house is the right long-term move, as it would enhance our ability to innovate, introduce cleaner ingredient formulations to reach a larger market, and improve overall product quality. However, given our current priorities and the need for greater visibility into long-term demand, we believe that the most prudent course of action is to temporarily defer this investment. What has always set our management team and company apart is our manufacturing expertise, our passion for innovation, and our ability to identify trends and opportunities in the consumer landscape. While we are encouraged by the sales recovery underway, we have used the slowdown to strategically assess new growth areas. We are excited to enter into two key categories in which our team has extensive experience: beef jerky and freeze-dried yogurt snacks. We have shared samples with several customers, and the response has been tremendously positive. Due to this early enthusiasm, we plan to launch both categories in the second half of the year. Yogurt melts will be introduced under the Sow Good Inc. brand, while beef jerky will launch under a separate brand currently being developed. We are motivated by the opportunities these expansions present and encouraged by the initial market reaction. We will continue to keep you updated on these exciting developments. Transitioning to our sales update, we are seeing encouraging momentum in the US, particularly in the hardware store channel, alongside key retail partnerships and seasonal initiatives that are expanding our brand presence. World Market is launching three SKUs next month, increasing our footprint in specialty retail. Albertsons Grocery is launching 1,468 of our displays for their Somerset, positioning us for peak seasonal sales. At Five Below, we are introducing a new summer SKU, summer coffee, along with two additional new items, caramel crunch and mint to be during Q2. At Ace Hardware stores, we have begun the onboarding process with their distribution warehouse following a tremendously positive reception at their recent trade show. Due to the excitement surrounding our products, fifty stores have already placed orders for full displays, which will ship within the next two weeks. We expect further expansion when the onboarding process is completed and our products are available in their distribution center. Similar to our success with Ace, we saw strong demand at Orville, a hardware store distributor. A hundred new stores have placed display orders, with one larger store ordering five displays to create a significant brand presence at launch. Additional orders continue to roll in, strengthening our entry in the hardware retail space. KeHE, one of the largest distributors in the US, will officially launch us through its new brand program in May. However, due to early demand, we have already received an initial $25,000 order from one of their customers, positioning us for continued growth in the second half of the year. Our international efforts continue with encouraging growth opportunities in the Middle East and Europe. During a recent trip to Dubai, we secured a contract with Explore Investments, a leading distributor in the UAE. We are now preparing to ship our first orders for four UAE-compliant SKUs, including a container for Qatar and an initial test order for Dubai, Saudi Arabia, and Bahrain. To support this expansion, Arabic language packaging is currently being printed, and shipments are scheduled to leave in the next three to four weeks. In Europe, we received a very positive reception at ISM Germany, one of the largest European snack trade shows. The European freeze-dried market is an emerging category with limited competition from high-quality brands and room for a market leader to establish dominance. We are in the final stages of securing compliance approvals for seven SKUs. We adjusted our launch timeline to the second half of the year to allow us to develop five SKUs that fully comply with EU ingredient regulations, ensuring that we launch with seven SKUs, giving us a diverse and competitive product lineup. With final formulations now complete, we are moving through the last regulatory steps. Once approved, our European distribution partner, who is one of the largest in the region, will actively pursue retail and wholesale placements, giving us a strong foundation in a market with minimal high-quality competition. We are executing on multiple fronts, expanding domestically with new retail partnerships and channels, increasing our presence in the hardware space, and making meaningful international inroads in the Middle East and Europe. With a strong retail pipeline, strategic distributor partnerships, and a continued emphasis on quality and innovation, we are confident in our ability to drive sustained growth in the quarters ahead. However, until we have greater visibility into our sustained level of sales, we are unable to provide formal sales guidance. What I can say is that Q1 will be marginally better than Q4, and with the planned launches, Q2 will outperform Q1, setting the stage for continued growth. Our recovery this year will be steady and methodical, and we remain enthusiastic about the opportunities ahead and unyieldingly committed to providing innovative and top-quality products to our consumers and long-term growth to our shareholders. Operator, we will now open the call for Q&A.
Operator: Thank you, ma'am. As a reminder, to ask a question, you will need to press star one one on your telephone. Our first question comes from George Kelly of ROTH Capital Partners. Your question, please, George.
George Kelly: Hey, everybody. Thanks for taking my questions. First, I have a question on the new product categories. I am just curious if you could explain a little bit about what attracted you to freeze-dried yogurt and beef jerky. And how quickly are you able to, I think you said a second-half launch, but do you have a good sense of production, and have you already started sort of testing the product, or how quickly do you think you can start to offer something there?
Claudia Goldfarb: Hi, George. Good to talk to you today. So yeah, over the last six months, obviously, freeze-dried candy has provided some challenges for us. During that time period, we were really looking at what are the adjacent categories that make sense for us to manufacture and launch where we have a lot of expertise. As most of you may remember, a lot of our management team has extensive expertise in jerky, specifically in the pet space. That translates incredibly well to traditional CPG. So that was an easy one for us to get started. As we looked at the jerky market, one of the things that we really saw was something that was very additive-filled. So a lot of salt, a lot of preservatives. And so, you know, our approach to that market is cleaner ingredients, a really high-quality jerky production process that does not require a lot of capital expenditure. And so we have started to make samples for various different buyers. The response has been overwhelming. It is something that, you know, for a second half of the year launch, seems very feasible, again, because it does not require a lot of CapEx. It is something that we know incredibly well. And so that is incredibly exciting. And then on the freeze-dried yogurt melts, it is something that we have always planned on doing. You know, when we launched candy, going into adjacent freeze-dried categories was always part of the plan. Right now, because of the slowdown, we have the production capacity to do so. We already had the formulations in place. We already had extensive testing in place. And so putting that into operation, again, not a lot of CapEx, very easy for us to do, and we already have the expertise in how to do so.
George Kelly: Okay. Understood. And then second question for you. Your comment that you are seeing some signs of improvement, I guess I am curious, is it mostly that you are getting kind of new inbounds from accounts you had not talked to before? If you look at your core customers and the velocity trends you are seeing, are you seeing stabilization there? Is that part of the improvement as well? And really what I am just trying to get at is, like, what is the consumption and how has that trended, and is there still, like, a lot of inventory at retail that will take longer to go through? You know, there is just not a lot of visibility into that. So if you could give any more data points here, that would be helpful.
Claudia Goldfarb: Yeah. No. Great question, George. So we are seeing both. You know, we are very excited about the new launches that we detailed in the call. We are having conversations with additional retailers for further Q2 launches that we are really excited about. But we are definitely seeing recovery in our key customers, you know, whether it be Five Below, convenience stores, other grocery stores such as Albertsons, where we ended the last six months. You know, I think they had a lot of inventory on hand. They worked their way through it, and so now we are able to refresh their assortment, restock them with the items that we are seeing continued traction in, and that is pretty much limiting itself to six key everyday SKUs that are performing stably very well.
George Kelly: Okay. I answered your question, Dorothea, if you want a little bit more clarity.
Claudia Goldfarb: Yeah. Is there anything else you can share just about velocity to retail?
Claudia Goldfarb: You know, one of the things that we are seeing, at least over the last twelve weeks, I was looking at the Circana data a few days ago. If you look at Circana, you know, right about seventeen units per store, per door, and that is pretty much what we are seeing consistently over the last twelve weeks. And so I think that our sales on a per-door basis have very much solidified and stabilized. And so now, you know, part of the go-forward strategy is, again, focusing on those everyday SKUs that are performing very well every day, day in and day out, whether it be c-store, traditional grocery, or now we are seeing a lot of lift in the hardware places and, you know, kind of those niche underserved categories that we have not looked at before. And continuing to innovate. Putting great SKUs forward that are a little bit different and differentiated from what is currently on the shelf.
George Kelly: Okay. And then just one last one for me and then I will hop back in the queue. What is the strategy to get inventory down? Do you plan to get more aggressive, either discounting or doing whatever it takes, and if you could just give a little sort of inventory update. And is the quality of inventory, like, how should we think, you know, twenty million bucks, how should we think about the quality of that? Is any heat affected?
Claudia Goldfarb: Thank you.
George Kelly: No. Of course. Thank you for the questions, George.
Claudia Goldfarb: The inventory that we have, the beautiful thing about freeze-dried technology is that it really increases the shelf life of everything now that we put out there. So the inventory that we have still has, at a minimum, a two-year shelf life. We are not concerned about that portion of it. It is stored in a temperature-controlled environment. So, you know, heat, moisture, and some of the other things that could be impactful to the inventory should not affect them. In regards to what we are doing to work our way through it is we are continuing to be really aggressive about the new doors that we open. And that really is a key strategy that we are focused on. In regards to market penetration, we still have, you know, we are in the low double digits in regards to the number of doors that we could be in. And so, you know, we have put together a phenomenal sales team who is being very aggressive and is super excited and passionate about the traction that they are seeing in the market. And so that is really the focus. Let us get these great quality SKUs that we see that are performing very well every day, and let us get them on the shelf and continue to market them, you know, aggressively in regards to, you know, social media and things of that nature to get them off the shelf as well.
George Kelly: Thank you. At this time, this concludes our question and answer session. I would now like to turn the call back over to Claudia Goldfarb for closing remarks.
Claudia Goldfarb: Everyone, I just really want to thank you for your time today. We really appreciate that you are following our story and that you have been part of our journey. The next several months are going to continue to be challenging, but we are very excited and committed to the opportunities that we are seeing in front of us. And we look forward to updating you on all of the exciting things that we see happening over the next few months. Thank you, everyone, and have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.